Operator: Good morning, ladies and gentlemen. And welcome to the Second Quarter 2021 Arbor Realty Trust Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that this conference is being recorded. [Operator Instructions] I would now like to turn the call over to your speaker today, Paul Elenio, Chief Financial Officer. Please begin, sir.
Paul Elenio: Thank you, Brittany and good morning, everyone and welcome to the quarterly earnings call for Arbor Realty Trust. This morning, we'll discuss the results for the quarter ended June 30, 2021. With me on the call, today is Ivan Kaufman, our President and Chief Executive Officer. Before we begin, I need to inform you that statements made in this earnings call may be deemed forward-looking statements that are subject to risks and uncertainties, including information about possible or assumed future results of our business, financial condition, liquidity, results of operations, plans, and objectives. These statements are based on our beliefs, assumptions, and expectations of our future performance, taking into account the information currently available to us. Factors that could cause actual results to differ materially from Arbor's expectations in these forward-looking statements are detailed in our SEC reports. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today. Arbor undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today, or the occurrences of unanticipated events. I'll now turn the call over to Arbor's President and CEO, Ivan Kaufman.
Ivan Kaufman: Thank you, Paul. And thanks to everyone for joining us on today's call. As you can see from this morning's press release, we had another outstanding quarter with many significant accomplishments, including exceptional operating results which, continues to demonstrate our unique ability to consistently generate high quarterly earnings and deliver outsized returns in every market cycle. I can't stress enough the importance of having multiple products with diverse income streams, which allows us to consistently grow our earnings and dividends, while others in our space have experienced little or no growth at all. We have a much higher quality of earnings with consistent dividend growth and a very low dividend payout ratio, which is why we strongly believe we should consistently trade at a substantial premium and much lower dividend yield than our peer group. We also remain extremely well-positioned for continued success, giving us great confidence that we will produce outstanding results for the balance of 2021. Our tremendous operating results combined with our, strong outlook has allowed us to once again increase our dividend to $0.35 per share. This is our fifth consecutive quarterly dividend increase and our ninth increase in the last 12 quarters, all while continuing to maintain the lowest dividend payout ratio in the industry. We've built a premium operating platform focusing on the right asset classes with very stable liability structures, an active balance sheet. GSE agency business, private label program and single-family rental platform, producing a long track record of exceptional performance with consistent earnings and dividend growth, as a result, we have been the top-performing REIT in our space for each and every one of the last five years. Before we dive into the details of our quarterly results and the significant growth we continued to experience in all areas of our business. I want to highlight some of our more notable second quarter accomplishments. We had a very active and successful quarter in many areas of our business. We produced tremendous transaction volumes originating in excess of $3 billion in new loans and investments this quarter, including over $1.8 billion of balance sheet loan originations, which is a new record. And just as importantly, our pipeline is currently at all-time highs. As a result, we were very active in the capital markets, successfully raising approximately $400 million of accretive capital in the second quarter to fund this growth. We issued $140 million of common equity, $175 million of five-year 5% unsecured debt, and $230 million of new 6.38% perpetual preferred equity which will allow us to fund our growing pipeline of loans and investments and be extremely accretive of future earnings and dividends. But this capital is $0.08 to $0.10 accretive in our annual earnings run rate, allowing us to increase our dividend again this quarter. Every time we raise capital is to fund our growing balance sheet loan business, which is not only high accretive to our current earnings and dividends, but also allows us to build a pipeline for two to three years of new GSE agency loans, showing the long-term growth of our platform and creating higher quality earnings and dividends in the future. We were also very successful in continuing to access the CLO securitization market in the second quarter closing our 15th largest CLO to date, totaling $815 million with very, very favorable terms and pricing. We have consistently been a leader in the CLO securitization market as financing our high-quality balance sheet portfolio with the appropriate liability structures continues to be one of our key business strategies. The utilization of these vehicles has contributed greatly to our success by allowing us to appropriately match fund our assets with non-recourse, non-mark-to-market long-term debt and generate very attractive levered returns on our capital and provide us with a rock-solid balance sheet. And in the second quarter, we're very pleased to have closed our second private-label securitization totaling $450 million with very effective execution, which contributed greatly to our second-quarter earnings and continues to demonstrate the strength and diversity of our versatile lending platform. Turning now to our second-quarter performance, as Paul will discuss in more detail. Our quarterly financial results were once again truly remarkable. We produced distributable earnings of $0.45 per share, which is an incredible accomplishment and well in excess of our current dividend, representing a payout ratio of around 78%. Our ability to consistently generate exceptional results and increase our dividends is a true testament to the value of our franchise and many diverse income streams we have created. We continue to realize significant benefits from many areas of our diverse operating platform, continued growth in our GSE agency platform which produces strong margins and increased servicing fees, significant contributions from our private label program, record growth and significant benefits from the size and scale of our balance sheet business, as well as superior execution on liability structures, strong performance of our multi-family focused portfolio with very few delinquencies and substantial income from our residential businesses. And these reoccurring benefits combined with our versatile originations platform, strong pipeline, and credit quality of our portfolio puts us in the unique position to be able to continue to produce significant distributable earnings going forward, as we are extremely well-positioned for future growth and success. On our balance sheet business, we're seeing tremendous growth as deal flows continues to really exceed our expectations. We grow our balance sheet loan book another 18% in the second quarter and record quarterly volume of $1.8 billion and have grown at 35% already this year to $7.4 billion as of June 30. Our pipeline is also at an all-time high, which will allow us to meaningfully grow our loan book for the balance of the year. This unprecedented growth has significantly increased our run rate of net interest income going forward and again very importantly, these balance sheet loans also create a substantial pipeline of future GSE agency loan origination volume and long-dated servicing revenues, further increasing our future earnings and dividends. It is also very important to stress that over 90% of our book, our senior bridge loans and more importantly, 87% of our portfolio is a multifamily assets, which has been the most resilient asset class in all cycles and continues to significantly outperform all of asset classes in this cycle as well. Additionally, as we have mentioned in the past, we have very little exposure to the asset classes that have been affected the most by the recession such as retail and hospitality, and we also have adequate reserves against our positions, wherein the height of the pandemic, we reported $7.5 million specific reserve on one of our hotel assets and subsequently used our own capital purchase remaining note at a discount. We worked very hard on the transaction and are firmly pleased to report the successful sale of our position in the second quarter allowing us to reverse the full $7.5 million reserve, like approximately $3.5 million of unpaid interest and free up, approximately $16 million of our invested capital will redeploy into our balance sheet lending business and generate strong level returns on this capital. We have always prided ourselves on investing heavily in our asset management function. This incredibly successful workout further demonstrates the value of our unique franchise. We continue to experience growth in our GSE agency platform and we are seeing significant increased momentum in our private label program as well. We originated approximately $925 million in agency loans in the second quarter and $1.3 billion including our private label business. We are also off to a very good start in the third quarter and we are expecting to close approximately $300 million of agency loans and $400 million of private label business in July. Equally is important, we have a robust pipeline giving us confidence in our ability to produce significant agency in private label volumes with this balance of the year. Our GSE agency platform continues to offer a premium value as it requires limited capital to generate significant long-dated predictable income stream due to significant annual cash flow. Additionally, our $26 billion GSE agencies servicing portfolio, which has grown 20% in the last year is mostly prepayment protected and generates approximately $120 million a year and growing in reoccurring cash flow, which is up 25% from $95 million annually last year. This is in addition to the strong gain on sale margins we continue to generate from our origination platform, which combined with new and increased servicing revenues will continue to contribute greatly to our earnings and dividends. We are also very pleased with the significant growth we are seeing in our single-family rental platform. Second-quarter, we closed another $110 million of single-family rental product, we currently have well over $1 billion of additional deals in our pipeline, making us very optimistic about the growth in this segment of our business. We also believe we are a leader in the single-family, build-to-rent space, which provides us with the opportunity to originate construction, bridge, and permanent loans on the same transaction. Again, we are very excited about the growth in this platform, confident this business will be a significant driver of yet another source of income further diversifying our lending platform. In summary, we had an exceptional quarter and are well-positioned to have another outstanding second quarter - second half of the year with a very versatile operating platform that is multifamily-centric with a strong pipeline, significant servicing income, sizable balance sheet portfolio, single-family rental platform and residential mortgage business providing us many diverse and growing business lines that position us exceptionally well for continued future success. We are confident that our superior multi-tiered operating platform will allow us to continue to generate high-quality earnings and dividends and preserve our long-term standing as the best-performing company in our space. I'll now turn the call over to Paul to take you through our financial results.
Paul Elenio: Okay, thank you, Ivan. As Ivan mentioned, we had another exceptional quarter producing distributable earnings of $69 million or $0.45 per share. These results once again translated into industry high ROEs of approximately 17% for the quarter and have allowed us to increase our dividend to an annual run rate of $1.40 a share. And this quarterly dividend increase reflects our fifth consecutive quarterly increase and our 21st increase in the last 10 years. Our financial results continue to benefit greatly from many aspects of our diverse business model, including significant growth in our agency, private label, and balance sheet business platforms that produce substantial gain on sale margins, long-dated servicing income, and strong levered returns on our capital. The income we continue to generate from our residential banking joint venture and the credit quality of our portfolio. As we guided to on our last call, we did see some more normalized results from our residential banking business joint venture as volumes and margins returned to more normalized levels. We recorded approximately $5 million of income from this investment in the second quarter, which contributed approximately $0.03 a share on a tax-effective basis to our distributable earnings. And based on the current market conditions, we expect this trend to continue for the balance of the year, resulted in estimated income from this investment of between $4 million to $5 million a quarter going forward. Our adjusted book value at June 30 was approximately $11.35, adding back roughly $61 million of non-cash general CECL reserves on a tax-effective basis. This is up approximately 5% from $10.86 last quarter, largely due to our second quarter capital raises. The significant earnings we generated in the second quarter in excess of our dividend, as well as from the successful recovery of $7.5 million reserve on a hotel asset during the quarter. And as a reminder, we have very little remaining exposure to the asset classes that have been affected the most by the recession, such as retail and hospitality. Our total exposure to these asset classes is approximately $100 million or about 1% of our portfolio, which we believe we have adequately reserved for giving us great confidence that our adjusted book value accurately reflects the impact of the recession. Looking at the results from our GSE agency business, we originated $925 million on loans and recorded $1 billion on loan sales in the second quarter. The margin on our GSE agency loan sales was up significantly to approximately 1.83% in the second quarter from 1.47% in the first quarter, mainly due to a higher percentage of FHA loan sales in the second quarter, which carry a much higher profit margin. Additionally, as Ivan mentioned, we were very active in our private label program, originating $377 million of new loans in the second quarter as well as completing our second private-label securitization totaled $450 million with very effective execution resulting in an all-in margin for the second quarter of 2.37% on our total loan sales. And in the second quarter, we also recorded $26 million of mortgage servicing rights income related to $1.2 billion of committed loans representing an average MSR rate of around 2.20% compared to 2.53% last quarter, mainly due to a higher mix of FHA and private label loans in the second quarter that contained a lower servicing fee. Our servicing portfolio did grow another 2% this quarter to $26 billion at June 30 with a weighted average servicing fee of around 46 basis points and an estimated remaining life of nine years. This portfolio will continue to generate a predictable annuity of income going forward of around $120 million gross annually, which is up approximately $25 million or 25% on an annual basis from the same time last year. Additionally, prepayment fees related to certain loans that have yield maintenance provisions did increase this quarter to $4.2 million compared to $2.7 million from last quarter. We also continue to see very positive trends related to our GSE agency business collections, which we believe reflects the strength of our borrowers and the quality of our portfolio. We only have a handful of delinquent loans outstanding and extremely low forbearance numbers in our portfolio through June 30. Loans in forbearance represent less than 23%of our $19.2 billion Fannie loan book and around 2.5% of our $4.7 billion Freddie Mac loan book, which is down substantially from March as we have had no new request for forbearances in the last several months and a significant amount of our loans have completed the program and are now current. In our balance sheet lending operation, we grow our portfolio 18% to $7.4 billion in the second quarter and record quarterly volume of $1.8 billion or $7.4 billion investment portfolio had an all-in yield of 5.33% at June 30 compared to 5.65% at March 31, mainly due to higher rates on runoff as compared to new originations during the quarter. The average balance in our core investments was up $6.6 billion this quarter from $5.9 billion last quarter, mainly due to the significant growth we experienced in both the first and second quarters. The average yield on these investments was up to 5.85% for the second quarter compared to 5.72% for the first quarter, mainly due to receiving $3.5 million in back interest from the successful workout of a hotel asset and for more acceleration of fees from early run-off in the second quarter, which was partially offset by higher interest rates on runoff as compared to originations in the second quarter. Total debt on our core assets was approximately $6.4 billion at June 30 with an all-in debt cost of approximately 2.79%, which was down from a debt cost of around 2.9% at March 31, mainly due to a reduction in cost of funds from our new CLO vehicle and reduced rates in our warehouse and repurchase agreements during the second quarter. The average balance in our debt facilities was up to approximately $5.9 billion for the second quarter from $5.2 billion for the first quarter, mostly due to financing the growth in our portfolio and issuing $175 million of new unsecured notes during the second quarter. And the average cost of funds on our debt facilities decreased to 2.89% for the second quarter from 2.99% for the first quarter. Overall, net interest spreads in our core assets increased to 2.96% this quarter, compared to 2.73% last quarter, again mainly due to interest collected on the sale of our position in a hotel asset and more acceleration of fees from early run-off in the second quarter and our overall spot net interest spreads were down 2.54% at June 30 from 2.75% at March 31 due to yield compression on new originations as compared to run off. Lastly, the average leverage ratio on our core lending assets, including the trust preferred and perpetual preferred stock as equity was up slightly to 84% in the second quarter from 83% in the first quarter, and our overall debt to equity ratio on a spot basis was flat at 2.9 to 1 at both June 30 and March 31 excluding general CECL reserves. That completes our prepared remarks for this morning. I'll now turn it back to the operator to take any questions you may have at this time. Britney?
Operator: [Operator Instructions] And we will take our first question from Steve Delaney with JMP Securities. Your line is now open.
Steve Delaney: Good morning, Ivan and Paul. And it's getting redundant, but have to say, congrats on another excellent quarter. The thing that struck me this quarter looking over the results is, not only are you doing the basic blocking and tackling, but the level of sophistication, tapping the capital markets for various transactions just continues to improve. So, props on all that.
Ivan Kaufman: Thanks, Steve.
Steve Delaney: Speaking of the capital markets transaction and I think all of us have been interested in your private label program that you started last summer or that you had your first transaction. Can you comment a little bit, you mentioned better execution, but could you comment a little bit maybe specifically like where you saw AAAs go out relative to swaps? And I think the thing that is I'd really like to know is, how do you estimate what your pre-loss return might be on the approximate 8.5% bps that you're holding onto? Thanks.
Ivan Kaufman: Sure, I don't have it in front of me exactly, where we executed the AAAs so we can furnish that to you, but - we have very, very good execution. Our first private label deal came out during the initial aspects of COVID. It was the first of our brand. This is our second deal. And of course, we'll be a serial issuer based on our pipeline. And the more we issue the better our execution. So, we're really pleased with where we're trading. And we're really pleased with the reception and it's both our name and reputation in the multifamily market. The fact that we're a big CLO issue, there's a lot of crossover buyers and we expect our execution to get better and better each time. And then we're even evaluating whether we want to do a public deal, which even improves our execution given the flow that we have. So, we're optimistic about our market participation relative to the expected losses….
Paul Elenio: Or - the return actually, pre-loss return.
Ivan Kaufman: Yes, I think we calculate, holding the BPs is that anywhere between a 10% and a 12% return factor.
Paul Elenio: That's right.
Ivan Kaufman: The losses and prepayments and as you know, our loss history on our multifamily portfolio is nominal next to nothing. But that's all factored in, we carry it at the proper return and there are a lot of efficiencies by generating and holding our own BPs with the new Dodd-Frank rules and stuff that gives us a competitive advantage in the market as well.
Steve Delaney: Yes. And I guess one of the benefits here. I mean obviously, you still do your CLO business but these are fixed-rate loans with longer duration than you would see in your bridge portfolio, right? I mean so, you're putting a 10% and 12% return, but it's something I think you probably are looking at a much longer life to that investment I assume than when you put a CLO together?
Ivan Kaufman: Yes, it's an average life of probably nine years on a 10% to 12% coupon, which is very hard to get that kind of return for that kind of term. So, we're pretty pleased with that element of it and once again, the further long-dated income streams that we're getting not only on servicing, but on that portion of the BPs which we own, control, and created. Anything we create is what we consider to be a superior product and better risk-adjusted returns.
Steve Delaney: Right, it sounds like based on the July originations, I think you mentioned or Paul did, $400 million. It would seem likely that you'll be doing at least one more of these before the end of 2021, I assume.
Ivan Kaufman: We're optimistic based on our pipeline, and we kind of like the market, yes.
Steve Delaney: And just one final thing, I'll leave the details to others, but obviously, a change at the top of the FHA in the last month or so. Any thoughts on maybe help what policy shifts you might expect over the next year or so from Sandra Thompson compared to Calabria, who I think we all know, was a bit of a hawk with respect to GSE risk-taking or volumes, that type of thing. So, just curious with your - what's your initial reaction was to that change? And whether, how it might impact your business one way or the other?
Ivan Kaufman: Yes, I think it's good for the GSE business and for us. And in particular, there is going to be more and more of an effort on the affordable side and putting more money towards the affordable aspect of GSE business. And we think it's going to be a more favorable environment for firms like us and I think it will be more lucrative.
Operator: And we will take our next question from Stephen Laws with Raymond James. Your line is now open.
Stephen Laws: And to echo Steve's comments, these are very repetitive calls, but for good reasons. So congratulations on other continued growth and another strong quarter. And thinking about the SFR opportunities, what is the pipeline there? What is the competition like? It seems like a number of competitors continue to talk about opportunities there. And kind of as you stand today, when you put a new dollar to work, where do you think those ROEs can go as you scale that business?
Ivan Kaufman: The SFR business is a very attractive business segment right now, especially to build-to-rent communities. We got in early. We got aggressive early and built up a nice pipeline, spreads have compressed quite a bit. But then again, our borrowing and our liability structure has gotten more competitive. What we like about the business specifically, on the build-to-rent, the construction component requires more expertise, not everybody is in it. Once you do the construction loan, you'll end up with a bridge loan and a takeout loan. We have locked up and have great relationships with a lot of the key players in the market and I think good players in the market. There is a lot of new entrants, you have to proceed with caution. Late entrants into the market is not always the best person to do business with. So, I think we're pretty pleased with the pipeline we have and we're pleased with the opportunities that we have and this price we have. There will be some compression because it is more competitive and we'll just be selective. We're just thrilled that we were early in, we're able to develop these great relationships, increase some borrower loyalty on our side of the coin.
Stephen Laws: Thanks, Ivan. Paul, to touch on prepayment, I think there is some - I noted in the queue, there is some prepay income, but I think it was a historical comparison. So the portfolio growth, I'm not surprised, that's up. But can you talk about the expected repayments? And maybe early income from any early repayments as we think about the portfolio maturing in the next 6 to 12 months?
Paul Elenio: So, Steve, you're right. Prepayments on the servicing side or run-off on the servicing side was almost double what it was last quarter. As you remember from last quarter, I thought last quarter was surprisingly light at around $400 million, came in around $800 million this quarter. And what was interesting - a little interesting phenomenon occurred, we did, as you mentioned, get a little bit more prepayment fees than I expected with that remodeled, and that we were getting over the last few quarters. And when I went and looked at certain of those transactions, it wasn't that people were refined away from us. Again, we're really laser-focused on retaining the business or someone is going to refi. We want to make sure we get that opportunity. But we saw a little bit in the second quarter and I don't know if it's a trend that will continue. It's hard to predict. Is there was a lot more sales volume at really appreciated values and people were fine writing those yield maintenance checks when they were getting significant increases in the value of their properties. So that was a little phenomenon we saw. Like Ivan's view, whether we think that continues? It's hard to predict, but that's kind of what we saw in the second quarter.
Operator: And we will take our next question from Rick Shane with JPMorgan. Your line is now open.
Rick Shane: Thanks for taking my questions this morning. Actually, just one quick detail. You guys have gone through everything thoroughly. When we look at the capitalization rate on the MSR for the quarter, it was down a little bit sequentially. Just curious, when looking at the fees and duration of the servicing rights, I don't see any change there. So, I'm just curious what's driving that? Is that a more conservative assumption or are we missing something?
Paul Elenio: Rick, it's Paul. Thanks for the question. Good to hear from you, again. No, as I mentioned in my commentary, it was just mix. In the quarter, we had more committed loans because that's how we do our MSR capitalization is on committed loans. We had more committed loans on the private label side and on the FHA side of the business. So, they drove higher margins, but they also drove lower MSR rates only because the FHA deals and the private label deals have like a 20 basis point servicing fee, and Fannie is up in the 50s. So, it's just a matter of mix. If that mix changes and it likely will over time, it will be more normalized. It just happened to be a specific quarter where we had more mix in the lower servicing fee earning assets.
Rick Shane: And when we think about the private label, there is nothing from a duration perspective that's materially different than the rest of the portfolio. I know there's a lot of protection on the agency business. I want to make sure I understand the private label business as well in terms of prepayment protections?
Ivan Kaufman: It's the same, if not greater prepayment protections. So, we'll have some options on some of the agency business to offer, less penalty towards the end of the term. This is a little bit longer in duration, I would say. It's probably 10% to 15% longer in duration.
Operator: And we will take our final question from Jade Rahmani with KBW. Your line is now open.
Ryan Tomasello: This is Ryan Tomasello on for Jade. Ivan, I was wondering if you can just discuss your general outlook for GSEs - the GSEs in the second half of the year in terms of volumes and overall performance?
Ivan Kaufman: I think the GSE business can be stronger in the second half than it was in the first half out of the gate, specifically, in the second quarter the GSEs [technical difficulty] also I think they we're dealing with digital collaborative issues. It's my feeling based on lower interest rates and then wanting to meet their volume target that will be a little bit more on GSE originations in the first half. Basically, everybody's loading up right now, building up their pipeline and I think you'll see a little bit more activity. And I think some of the barriers that Calabria was bringing to the table, I think are being stripped away at this point. That's kind of the existing regime, which has been in place [indiscernible] constant probably will go back to a little bit of the historical way of operating. So, I'm very optimistic to GSE business for the balance of the year will be as strong if stronger than the first half of the year.
Ryan Tomasello: Thanks. And can you talk about some of the technology initiatives that you have been investing behind specifically, in the small balance lending space? And I guess just overall, how you're thinking about technology investments generally across the Arbor platform going forward?
Ivan Kaufman: I think the way we're approaching technology is, we have a goal of where we want to be in two or three years in terms of eliminating redundancy function as well as personnel functions, that's piece-by-piece. I think there's going to be a lot of advance in servicing side, on the origination side, and the way we use data. We have a three-year plan. We're doing it piece-by-piece, making improvements, technology improves, increase our ability to implement different processes and smooth out our workflow processes, but I believe we can maintain and grow our business, and remain very small and built our personnel, taking advantage of those different technologies, but it's not an overnight thing, it's progress made in each segment of the business and combining them all in to a whole process.
Ryan Tomasello: And then final one for me regarding the private label business. I was wondering if you see an opportunity Ivan to partner with other non-bank lenders on private label CMBS issuance to scale volumes for that platform?
Ivan Kaufman: I think that's something that we will look to do in the future. All we wanted to do is get our brand going, use our own originations. We do work with a lot of brokers, we can turn it up. We were always cautious of having too big of a pipeline very effectively. I think once we do our third one and if we end up flipping and doing public deals, and we will consider co-originated with a few others. At the end of the day, we will own and hold our own BPs, so we are very particular. We partner with one along [technical difficulty] originates, but we'll proceed with caution and we will land [technical difficulty].
Operator: I would now like to turn the program over to Ivan Kaufman for any additional or closing remarks.
Ivan Kaufman: Well, thanks again for everybody participating with us and following us. And I guess a reoccurring theme from everybody and what we've been able to do is have did some dividend increases, which is really unique thing in our space. We're the only company, as I mentioned in the prepared statements, is not only have a stable dividend - why we think we should be participating in a premium. But more importantly, we have exhibited unprecedented growth - system basis. Thanks again for your confidence and look forward to our earnings call. Thank you very much and have a great day.